Company Representatives: Laurent Junique - Executive Chairman, Founder, Chief Executive Officer Chin Tze Neng - Chief Financial Officer Edward Goh - EVP of Corporate Development Jason Lim - Head of Investor Relations
Operator: Hello! And welcome to the TDCX Q3 2022 Results Announcement. My name is Alex. I’ll be coordinating the call today. [Operator Instructions]. I’ll now hand over your host, Jason Lim, Head of Investor Relations. Please go ahead. 
Jason Lim: Hello everyone! And welcome to TDCX third quarter 2022 earnings conference call. My name is Jason Lim, the Head of Investor Relations. Allow me to introduce management on the call. We have our Executive Chairman, Founder and CEO, Mr. Laurent Junique; our CFO, Mr. Chin Tze Neng; and our EVP of Corporate Development Mr. Edward Goh. Before we continue, I would like to remind you that we will make forward-looking statements which are subject to risks and uncertainties and may not be realized in the future. You should not place any reliance on any forward-looking statements. Also, this call includes the discussion of certain non-IFRS financial measures such as adjusted EBITDA and adjusted net income. For reconciliation of the non-IFRS measures to the closest IFRS measures, please refer to our press release or the Form 6-K, which are available on our website. We have provided a convenient translation for the translation of Singapore dollar to the U.S. dollar. This was done at a rate of US$1 to S$1.4340. This should not be construed as representation that any Singapore dollar amount can be converted into USD at this or any other rates.  With that, let me hand over the call to Laurent. Laurent, please.
Laurent Junique: Hello everyone and welcome to our results briefing for the third quarter of 2022. We've delivered a strong quarter driven by the solid execution of the TDCX team and I want to take this opportunity once again to recognize and to thank them. This once again has been an interesting year, but the team’s continued to do their very best. It shows in the results.  I'm happy to share that our global expansion plans continued with the addition of two new campuses, one in Iloilo in the Philippines, another one in Istanbul, Turkey. This brings us to a total of 27 campuses globally as we continue building our network. We are seeing greater contribution from our four newer geographies, namely Colombia, India, Romania and South Korea, which made up close to 10% of the year-on-year growth in revenue for Q3, 2022 against Q3, 2021. Our expansion in Asia Pacific, Europe and LatAm was strategically planned with the objective of positioning ourselves well to emerge stronger amid the changes in the CX outsourcing space, and I’m condiment our enhanced footprint will provide us with competitive edge going forward.  During the quarter, we are also proud to have had our industry leading practices recognized. We were named Leader by global technology research and advisory firm, ISG, in their Contact Center Singapore/Malaysia 2022 report. The report acknowledged our capabilities, positioning us at the top of the quadrant. On the ESG front, we deepened our commitment to bringing positive transformation to the community with the launch of the TDCX Foundation. Through the Foundation we will be able to help drive greater social impact for disadvantaged communities. Let me next cover some highlights of our financial performance.  We delivered robust revenue growth in Q3 2022, as revenue rose 16.1% to US$120 million or S$173 million. This was driven by strong contributions from clients across key verticals, in particular the travel and hospitality space, as well as from our new geographies as mentioned earlier.  Our growth was broad based. Clients outside the top five continued to grow rapidly, at more than twice the pace of our group revenue growth in Q3, 2022. This has helped diversify our client concentration. Our top two clients stood at 56% of Q3 compared to 63% last year, while the top five stood at 82% compared to 85% last year.  In terms of revenue contribution from verticals, travel and hospitality continued its strong growth trajectory and was up 29% compared to Q3, 2021. On top of higher contributions from existing clients, the performance was boosted by new and exciting clients that we added in this vertical. Our quarterly revenues for travel and hospitality are now back to the pre-pandemic levels; however, there is still room for us to grow, in particular when the North Asian travel starts to reopen.  The digital advertising and media vertical remains our top vertical, driven by our strength in the sales and digital marketing service, as well as the acquisition of new key clients. The leading short-form video, social media platform that we recently on-boarded has started to contribute meaningfully in Q3 and we hope to be able to deliver even more services for them moving forward.  Despite some recent turbulence, the global digital advertising market remains an attractive high growth segment over the long term. According to the latest report by research and markets, the global market for digital advertising and marketing is estimated at US$477 billion in 2022 and is projected to reach US$786 billion by 2026, growing as a CAGR of 13.9% over the period.  The FinTech vertical posted strong double-digit percentages growth year-on-year and remains our third largest vertical. Our clients in this space include Payment Gateway, crypto exchanges and other FinTech companies. Crypto makes up a small contribution to group revenues around less than 1%. Other than these three verticals, we will continue to try to add clients across different verticals such as e-commerce and gaming.  In terms of earnings and quality growth, our numbers showed that we continue to deliver quality earnings growth, adjusted net income which strips out the performance share plan cost for a like-for-like basis comparison rose 15% year-on-year to US$24 million or S$35 million. Our adjusted EBITDA margin remains at industry leading levels, at 31.8% for Q3, 2022. Once again, the quality of our earnings growth is translated into strong cash flows. Q3, 2022 net cash from operating activities was US$90 million, up 53.1% year-on-year. Our CFO will share more details on the numbers in the later sections.  In terms of geographies, as mentioned earlier, our strategic geographic expansion initiatives are starting to show up in the numbers. Our new geographies are starting to pull their weight and we are building strong pockets of revenue contributions from parts of the world that TDCX didn’t use to be in such as North Asia and Latin America. With our expanding footprint, TDCX is able to provide clients with a full range of solutions across different services and different geographies.  During the quarter we launched our Turkey campus spanning 3,000 square meters. This strengthens our capability to offer Turkish and Arabic in addition to European languages such as German. TDCX will also be able to serve better the growing Middle East market on the back of strong demand from brands. In October we completed the restructuring of our Hong Kong associated company into a wholly owned subsidiary. This will allow us to better tap into opportunities in the Greater China area.  Moving forward, we plan to expand into Indonesia, Vietnam and Brazil. Vietnam and Indonesia has further flexibility to offer key Southeast Asian languages in a multilingual centralized model, as well as a decentralized model. Brazil is an exciting geography with a huge population, as well as opportunities to serve the broader Latin American markets.  On the business development front, we have continued our business development momentum, setting up a 31 logos for the first nine months of 2022, up 55% against the 20 we signed back in the first nine months of 2021. It was a quarter where we focused on executing or delivering for our signed logos and we launched a total of 12 clients in Q3. Our client count now stands at 72 as of 30th September 2022, compared to 60 as of 30th June 2022. Compared to a year ago the client count is now 50% higher.  Now, I’ll hand over to Mr. Chin to cover the financials in detail, as well as to provide an update on the guidance. 
Chin Tze Neng : Thank you, Laurent. Let me first present some details on our Q3, 2022 financial performance. Revenue rose 16.1% to $120 million, driven by growth across the omni-channel, CX sales and digital marketing, content, trust and safety service lines.  Adjusted EBITDA rose 3.9% to $38 million as margin declined from 35.5% to 31.58%. The adjusted EBITDA margin of 35.5% for Q3 last year was exceptionally high, which led to a distorted comparison. The adjusted EBITDA margin of 31.8% for Q3 this year is more in line with what we have achieved throughout 2022, and also in line with the guidance we have provided.  This was actually an improved performance on a sequential quarter basis compared to Q2 2022 margins of 31%. If we were to analyze it on a year-on-year basis, there are four key reasons for the margin definition. Firstly, Q3 2021’s Asian productivity from key clients to projects in omnichannel, CX and sales and digital marketing service lines was higher as business volume increased significantly during this period from the preceding two quarters.  Secondly, Q3, 2022 group revenue was lowered by a catch-up revenue reduction following the execution of the Airbnb warrant agreement in September 2022. As we had to account for the cumulative period dated to the start of our master service agreement in 2021 on top of current quarter.  Thirdly, we strengthen our management structure in 2022 to cope with business expansion and increasing campaign requirements. Also with TDCX being a listed company for the past year, some increase in corporate overheads was increased. Lastly, we instituted compensation adjustments in response to rising talent competition that began since Q4, 2021 that continue into the current year.  Let me next move on to adjusted net income. Our adjusted net income rose 15% to $24 million. Net profit for the period rose at a lower 2.3% on a reported basis, due largely to the implementation of the performance share plan that did not occur in the same period last year.  Next, we share some insights on our Q3 revenue performance by the service lines. Revenue from omnichannel, CX solutions was up 13% to US$70 million, due mainly to high business volumes driven by the expansion of existing campaigns in the FinTech and technology verticals. In addition, business volumes of our key travel and hospitality clients continue to gain recovery momentum, arising from the reopening of borders throughout this year.  Revenue from sales and digital marketing services increased by 32% to US$30 million with the expansion of existing campaigns from our key digital advertising and media clients. Revenue from content, trust and safety services rose by 6% to $20 million due to an increase in business service volumes. In Q3, 2022 omnichannel, CX made up 58% of our total business, while sales and digital marketing contributed 25% and content, trust and safety at 16% respectively. Let me next elaborate on our operating expenses. For Q3, 2022 operating costs as a percentage of revenue stood at 80.3%. Excluding PSP costs on a like-for-like basis, this stood at 78.1%. This was higher than 73.2% for Q3 last year due to the reasons I gave earlier on adjusted EBITDA margins.  Our employee benefits expense increased by 30% to $78 million for Q3. Excluding PSP cost for a like-for-like basis, employee benefit expense would have increased by 25% due to higher employee account required on campaign and management funds. Wage adjustments due to talent market dynamics that we operate in, and increased cost of living. Our depreciation expenses declined slightly by 2%, largely due to certain office renovation assets in Singapore, Thailand and Philippines being fully depreciated during the period with no big ticket capital expenditure incurred. All other expenses rose 35% for Q3, 2022, driven by higher recruitment, telecommunication and technology, as well as other operating expenses to cope with business volume expansion demand.  Next, let me share some details on our nine month 2022 financial performance. Revenue rose 21.7% to $340 million, similarly driven by growth across all three business service lines. Adjusted EBITDA rose 16.6% to US$107 million as margins declined slightly to 31.4% within our guidance range for the year.  Adjusted net income rose by 27% to US$66 million, while net income rose at the lowest 6.6%, due mainly to the performance share plan expense which did not appear in the same period last year. For the nine months revenue front, revenue form omnichannel CX solutions arose 18% to US$199 million.  Revenue from sales and digital marketing services increased by 47% to $82 million, while revenue from content, trust and safety services rose by 6% to $57 million. For the nine months of 2022 omnichannel, CX mix up 59% of our total business, while sales and digital marketing is at 24% and content, trust and safety 17% respectively.  Let me next share some details on our nine months expenses. Operating cost stood at 80.2% as a percentage of revenue for nine months 2022. Excluding PSP cost, this stood at 77.1%. Employee benefit expenses increased by 33% to US$224 million and 27% without PSP cost, due mainly to higher employee account requirement on campaign and management funds, higher wage costs and increased competitive landscape of the talent market conditions.  Our depreciation expenses declined by 4%, largely due to certain renovation assets being fully depreciated with lesser major capital spending input. All other expenses rose by 23% driven by recruitment, telecommunications and technology, as well as other operating expenses to cope with business volume increase.  Lastly, let me provide an update on our full year 2022 outlook. We are reiterating the full year 2022 revenue outlook at the midpoint, while narrowing the range as we come closer to the end of the financial year. Our full year 2022 revenue guidance has been narrowed to S$655 million to S$670 million from S$650 million to S$675 million previously. The midpoint remains unchanged at S$662.5 million, representing a 19.3% growth. The narrow range of revenue represents growth range of 18% to 20.7% compared to the full year 2021.  The company's financial information is stated in Singapore dollars. However, we provide a convenience translation to help readers understand the approximate context and quantum of the numbers in U.S. dollars. At the approximate rate in effect as of September 30, 2022 of US$1 to S$1.4340 the revenue guidance above would be $457 million to $467 million.  Applying the approximate rate in effect as of June 30, 2022 of US$1 to S$1.3918, this would be $471 million to $481 million. With our continued emphasis on cost management and employee productivity, we maintain our full year 2022 adjusted EBITDA margin to be approximately 30% to 32%.  With that, let me hand over back to Jason. 
Jason Lim: Thank you Mr. Chin. Let us now open the floor for Q&A. May I request that each of you keep yourself to three questions, please. Thank you. Operator, please. 
Operator: Thank you. [Operator Instructions]. Our first question for today comes from KC Ong from CIMB-CGS. KC, your line is now open. 
KC Ong : Hi! Good evening. Thanks for taking my question. I have two questions. Firstly, I saw that you have narrowed your revenue guidance for FY’22. I’m just wondering, what are you seeing in terms of client's latest volume projections which led to this decision. And secondly, can you provide any color on the outlook for 2023, both in terms of top line and margin? Thanks. 
Chin Tze Neng: All right, hi KC! Thank you for the question. So well look, we're looking at the now completing nine months. We've just completed our ninth month. We're getting quite close to the end of the year. We have enough visibility, so we felt it was our duty to communicate a narrowed guidance rather than leaving it open for full transparency.  So we've narrowed it from S$650 million to S$675 million to now S$655 to S$670. Midpoint is unchanged and that's really on the back of having enough visibility around the order book from our clients now until the end of the year, and pending any unforeseen circumstances, which well sometimes in the end of the year it will happen.  So, we are quite set here and have a good visibility over the rest of the year. Relating to your second question around outlook, it's really too early to give details for next year as we are in discussions with clients. We're working on their budgets, and will issue our formal guidance when we announce our Q4 results in March 2023.  However, just to give you a bit of color, fundamentals have not changed. We’re still in the faster growing region in the world, in Asia. New economy companies need our service. On the bright side, you've got the latest Google Temasek report that shows 20% growth for the new economy, companies moving forward in Southeast Asia.  At the same time, you’ve got a bleaker outlook with the recent stuff, layoffs that we've heard from a number of new economy clients and new economy companies. So I think those two forces are in play assuming macro backdrop stabilizes, our long term growth outlook does not change. So we'll get back track on our growth plans.  So basically, we remain confident on our long term growth. We've made good progress in our business development momentum. We've also added new geography, so we have a number of solutions in our arsenal for next year. So we're looking at a double digit growth in 2023. 
KC Ong : Got it. Thank you. 
Laurent Junique: Thank you, KC. 
Operator: Thank you. Our next question comes from a Pang Vitt of Goldman Sachs. Pang, your line is now open. 
Pang Vitt: Hi! Thank you very much for the opportunity and good evening everyone on the line here. Just three question from my side. Firstly, could you help us provide some colors in terms of what have been the impact to your business. Post global internet slowdown, we have seen some of your key client's like Meta going on with the headcount reduction program. So I wanted to hear how this has impacted the way that they interact with TDCX as their, one of the main outsourcing partner. Is there any risk in terms of your revenue and exposure to Meta going into next year, so that’s question number one.  Question number two is related to your omnichannel, CX business. Why has growth been subdued in the last one quarter despite travel continue to return to its pre-COVID level. Which segment of your customer has been addressed and what kind of growth can we expect going forward as well.  And lastly, this is in terms of the margins. You are able to sustain your margin as over 31% over the last few quarter. Any risk going into the next year? Any implication from your customer discussing or potentially cutting the cost of the contract?
Laurent Junique: All right, thank you Pang. Nice to see you again. Regarding clients, I cannot really comment on specifics around the clients. If I maybe look at the whole digital advertising industry as a whole, because I think the impact is at that level for a number of clients who are announcing layoffs as well. Of course, the concern is there for us and we are watching that very closely.  On the bright side, we can imagine that the clients are reducing their labor cost. That frees up some money to – for them to invest in growth and usually there's a possibility they could consider outsourcing as an alternative. So I don't want to sound optimistic, but we have to watch this very closely with a lot of caution, yet we see this as a potential opportunity.  Again, our digital advertising business is made of more than just one client. We have some clients who have strong growth profiles moving forward, so it's a place to watch. Again, let's not look at the world of digital advertising only on the global basis. Let's look at it where we operate the most of it for TDCX, which is in Asia and this is still a growing area in general for most of our digital advertising clients.  On the OCX front, we’ve seen growth in the digital – in the travel industry. Quite significant growth on the travel, 29% up. We expect this to continue to grow and next year we'll see whether China comes into play for us, as well as a possibility, no indications as we all know.  FinTech was growing at double digit growth in our OCX space. We have a number of our clients in that space that are growing at double our growth and that's also a bright spot. So I'm still very confident that CX next year will grow still at a good pace and so that addresses this.  From a margin point of view, in your third question, I would say once again our business model has not changed, and so just as probably a reminder that TDCX derives all of this revenue from a business-to-business engagement, with working with companies rather than consumers that we do more complex work as a result of that. We derive a lot of our revenue from offshore engagements as well. So really doing more complex work tends to drive our margins up and we intend to continue to do this, and as a result of that we expect to maintain our margins.  However, we have also expanded in new geographies and we are in countries where the average revenue per employee will be lower for some of them and that's to be taken into account. But all-in-all, as long as we don't change our strategy dramatically, our margin profile should stay within a certain range that we are reviewing on a regular basis. 
Pang Vitt: Thank you. 
Laurent Junique: Thank you, Pang. 
Operator: Thank you. Our next question comes from Sigrid Qiu from JP Morgan. Your line is now open. Please go ahead.
Sigrid Qiu: Hi! Good evening! Thank you very much for taking my questions. I have three questions. The first question is sort of a follow-up from Pang’s question. Just wondering, do you observe Meta downsizing their own business, and if yes, what would be the impact on TDCX. And my second question would be, could you tell us what's your most recent employee account and maybe could you also share with us your latest attrition rate, probably by your three different business type? And lastly, could you also describe the profile of your new logo sign up and out of the three main core business types, how do these new logos contribute to each category? Thank you. 
A - Laurent Junique: All right, so coming back to the first question again, I cannot really give you much details unfortunately as I cannot really comment on specifics around one particular client and I'll go back to the same answer I think with Pang around the digital advertising industry overall. But look, we’re watching that space and cautiously optimistic around the prospect of digital advertising as a whole for TDCX for next year.  As far as the employee count is a concerned, I’m not sure we should be giving this in detail, but it stands between 17,000 to 18,000 employees at this point; actually 17,400 plus to be a bit more precise.  Attrition has gone up slightly. It continues to trend higher than it used to be a pre-pandemic, so something we're looking at for sure, both on the voluntary and involuntary side of things. The good news is that we are able with our recruitment teams to deliver the headcount as required by our clients. So although it’s not getting easier to recruit, we are able to deliver through leveraging the technology, we have leveraging our management systems, but also having made some organizational changes to strengthen our talent acquisition capabilities.  So attrition is higher than it used to be. We are still delivering the number of headcount required and it's a double edge sword if you'd like. The harder it gets to recruit, the more clients need our services, because they are experiencing the same kind of challenges, yet we are able to deliver leveraging what we have. In terms of new logos we signed up, interesting business in cloud, so helping to sell cloud. This is not the only client we have in that space, so a growth opportunity here. We have an interesting client in the automated food delivery that we run out of both India and Colombia. Something – really a position towards the future.  We have a new economy search company as well and that's also interesting in our Malaysia operation. We've implemented 12 new logos in the past quarter, so we've been busy. We've been busy also replying RFPs from existing clients. So there's a good momentum overall and those clients are starting to pull their weight as well in our P&L. 
Operator: Thank you. Our next question comes from Jonathan Woo of Philip Securities. Jonathan, your line is now open. 
Jonathan Woo : Thanks. Evening management, thanks for taking my question too. The first is on implementation. I noticed in your last call that you mentioned implementation was a little bit slower than where you wanted it to be, but given that you did have 12 launch campaigns for this quarter, I suspect that the levels are kind of back up to where you would want it to be. Can you maybe just comment a little bit on that? What were the factors that – first of all, whether it is where you want it to be and second of all, what were the factors that kind of led to this.  The second is, I noticed a big increase in interest and other operating income for not just the third quarter, but for nine months – for the nine months of this year compared to the nine months of the last year. You think you could share a bit of color on this. Thank you. 
Jason Lim: Sorry Jonathan, we missed the second question. Do you mind repeating the second one?
Jonathan Woo : Sure, yeah. There was a kind of a big increase in interest income and other operating income for the third quarter and for the nine months of this year compared to last year. Just a little bit of color on that, yeah. 
Jason Lim: Got it. I think Mr. Chin will answer on the interest income and other operating income later. Your first, can I just confirm it is on implementation. You are talking about implementation or campaigns?
Jonathan Woo : Yes, yes. Yep, correct. 
Jason Lim: Yeah, we have Laurent to take the first question.
Laurent Junique: Yeah, on the implementation of campaign we implemented 12 new logos in the third quarter. We've had quite a summer as well on the travel and hospitality business with a significant increase here at 29% up, so – and some of the business experience, 100% growth on the travel side as well. So it was a challenging quarter in terms of delivering the headcount, delivering 12 new implementations, completely new programs, new clients, and so I know the team has worked really hard, but it's a good indication of our capability to scale quickly and to deliver the quality that our clients are looking for.  I'll hand over to Mr. Chin on the second question around interest income. 
Chin Tze Neng : Yes. Hi Jonathan! The interest income had a bump up in the third quarter, primarily due to the more placement of excess funds, especially coming from the IPO funds that we are still keeping. On top of that, the operating cash flow from the business and we have sort of picked a – completed a step to place them out in interest bearing instruments for this quarter. As opposed to last year we didn't have yet the IPO funds in 3Q, because we were in IPO in October. The front of operating income is largely due to the foreign exchange gain culminating from better exchange rate with the key currency of the main delivery sites that we operate, primarily against U.S. dollars from the various projects, key projects that we deal with. So as expected from the recent move in the foreign exchange significant jump from the quarter two, culminating into higher foreign exchange, again taken into the other operating income line. 
Jonathan Woo : Great! Thank you. 
Operator: Thank you. [Operator Instructions] Our next question comes from Varun Ahuja from Credit Suisse. Varun, your line is now open. 
Varun Ahuja : Thank you. Good evening, management, and congrats on a good set of numbers. I got three questions. First Laurent, I understand you mentioned about next years you may – your just seeing – it will be judicious to think about double-digit growth. But just from a vertical perspective when you look at it, which industry verticals you think you are more excited about and you think can potentially surprise on the upside? Now, that's number one.  Number two, on the margin front if you look at – it's a blended margin of around 32%, 31.8% this quarter, but if you look at the range is around 31% to 32% -- 30% to 32%, but if you’re older, the locations are I believe much higher and your still opening up new offices. If you look at the last two to three years, you have opened up new locations and they are starting to contribute revenue. So how should we think about the margin profile of those new locations? When do you think they will start contributing closer to the group margin or are they yet not contributing positive margin? So from a location perspective, how should we think about it, and within that are you looking to add more locations over the next 12 to 18 months.  Last question on the M&A opportunities and cash utilization, any update that you can provide on that front? How should we think about, now that you have been for the last 12, 15 months looking at various M&A opportunities, and given the valuation blip that you are seeing in various technology sides, how should we think about where is it going right now, and as in, why not you’ve been able to find the right fit as of now? Where is the issue? Is the evaluation you know the right fit? Thank you. 
A - Laurent Junique: Thank you, Varun. Nice to see you again. We're going to work at a team of three to answer your three questions. I'll take the first one. Industries I'm excited about and really profile of growth next year, where do I see the growth? I think OCX is pretty steady. The winner again next year for us we think will be SDM, Sales and Digital Marketing, so you can see that we still have a good thought around digital advertising overall, because that's some of it coming from there, also from cloud services that are part of these Sales and Digital Marketing group.  And in content moderation, trust and safety should have a fairly limited growth once again for next year. The industries, I'm excited again about really travel and hospitality and that's again, pending a potential recession and slowdown, so that's still a question on our mind, whether it's going to materialize? At what stage, until when or from when into next year? FinTech is still featuring nicely together with digital advertising.  Gaming could be an interesting play for us next year as well, so there's a number of things happening where we're strong as well. So it's easier for us to deliver on these areas.  Maybe for the margins, I'll defer to Mr. Chin and then for the third question I’ll ask Ed to cover that. Mr. Chin, on the margins. 
Chin Tze Neng : Yep, sure Laurent. Talking about the margins blended in terms of the new sites contribution, yes, this year the new sites that we set up a couple of years ago, up until even last year beginning to deliver revenue.  On margin wise, they are still finding their feet. Showing signs of exaggerating in terms of productivity, yet to reach the level of the mature units that you talk about, the four big units, largely because of the scale. They are still lacking the scale and probably a bit of experiential, which the mature units are still lending their support throughout to bring up to speed the proficiency of these business units.  So we are actually working quite hard on bringing them up to the level that we hoped to be. Maybe perhaps one of the business unit that was setup, in the first Europe setup is coming the closest to our margin that we are setting in Japan – in South Asia, whilst the rest are still probably doing at a infancy margin level. We have yet to use – well, fully utilize the capacity that was designed for them, whilst the revenue on the revenue side, we are still – they are still going through the motions of stabilizing, especially probably the notable improvement is probably in Q2 and just probably breaking in into during Q3.  But in the early phase of Q1, all the way back to last year, I think they are still quite a bit behind. Yup, that is the part that I would say going forward into next year, we will continue our efforts to bring them up to speed, to the level that we are having in the mature units now. 
Edward Goh: Hey Varun, at – sorry, Mr. Chin, would you want to finish it please?
Chin Tze Neng : No, I'm done. I was about to introduce you to the third question. 
Edward Goh: Okay, thank you Mr. Chin. Hey Varun, on the topic of M&A, you know we are continuing with the review and building up of the pipeline that we have. We are sort of obviously quite keen to do something, but you know we have to be selective as well. We think we're in a good position. I think we understand there's a cash buildup, but in a current environment where there's rising sort of cost of credit, I think the financial profile that we have puts us in a good position to act when the right target is available.  I think where evaluation is concerned, obviously it’s adjusted from last year, but I think there's sort of obviously quality companies out there that still continues to have certain views on their valuations. So we are sort of staying very close to some of these opportunities and will update when there's development on that front.  On the cash utilization, I think as Mr. Chin mentioned, I think you know the beginning to see sort of interest income coming up, I think the plan is really to have a more proactive approach, to cash management, to enhance the view on the front. So that's sort of our current view on the capital allocation. 
Varun Ahuja : Thank you. 
Operator: Thank you. Our next question comes from Pang Vitt of Goldman Sachs. Pang, you line is now open. 
Pang Vitt : Hi! Thank you. And just a quick follow-up here. Firstly, I recall you mentioned about Airbnb warrant that got signed in September. So wondering whether you can share any colors around there, was the price associated with the warrants and potential dilution risk? Are there any change in your master service agreement with regards to this warrant as well. So I was wondering whether you can share any color about that, so that's question number one. Question number two, just wondering whether there is any growing concerns on your content moderation business post, one of your peers investigation in Colombia. So wondering whether there's anything that we should be – worry about or looking out for in the content monitoring business. 
Edward Goh: Hi Pang, Ed here! Maybe I'll take the first questions on the warrant. So you’re right. I think you would have seen that announcement in the 6-K filing. So we are quite pleased that we finally reach a conclusion to the discussions with Airbnb. I think this agreement; this basically amends the relationship with Airbnb. I think it further aligns the interest between the two companies with a share in a 6K that this agreement basically involves up to 490,000 warrants, which allows Airbnb to convert into underlying ADSS’s, subject to certain volumes being met with the intention of their respective measurement period.  I am not at liberty to disclose more than that, but I can also share that in terms of the measurement and the accounting for it, it will be in line with the IFRS standards. Thank you.
Laurent Junique: Pang, relating to content moderation, we read the article obviously, but just in case some have not looked at it, the provider decided to stop providing content moderation services on the back of some challenges with the authorities in Colombia, relating to some labor disputes and challenges.  So first of all, TDCX doesn't provide currently content moderation services in Colombia. We do in other parts of Asia. This is a business that we like very much to carry on and to do. We have a very specific approach to delivering these services, with a lot of care for the employees who deliver those services and we've built a whole infrastructure around it. And we are, just to illustrate, experiencing the lowest staff turnover of all the programs in the world in these services that we deliver, because we've really designed an approach to wellness and to care with great locations, infrastructure management, training and whatnot. That makes this business which we find is really necessary in today's society, to be able to deliver it in a way that is very, very careful with our employees.  So at this point, I do not see a concern for TDCX in general in providing content moderation and trust and safety. 
Pang Vitt: Thank you. 
Operator: Thank you. Our next question is a follow-up question from KC Ong of CIMB-CGS. KC your line is now open. 
KC Ong : Hi! Thanks for taking my question once again. Just a few questions, housekeeping questions. Firstly, do you hedge ForEx exchange given the volatility on that side, especially in the later part of this year.  Secondly, on tax rate, I recall this year is probably a year where we see quite a bit of elevated, tax rate because of Malaysia and Philippines. How should we think about tax rate going into next year?  And thirdly is again on Airbnb. I think in one of your prepared remarks, you did mention something like the revenue offset or revenue reduction from Airbnb in the third quarter that is a catch up. Can you just provide us a bit more color on this? How would it look without this front? 
Chin Tze Neng: Yes, hi KC. This is Chin here. On the ForEx side of things, we – due to the recent trend in the ForEx, we have not maintained – executed any hedging position, primarily due to the trend as well as the cost of hedging was pretty steep in the recent times quite naturally. But going forward we are revising or revisiting our ForEx position, given the trending of the ForEx situation, looking into next year and so I'm going to revisit and revise our ForEx position in relation to our exposure and device probably a new set of action plans to mitigate any risk in the possibility of any of the major currencies turning in the other direction.  Tax rate wise, the tax rate from 2023 perspective, we are seeing that possible reduction of the tax rate in Philippines due to the latest developments in the Philippines on the incentive breaks for the PEZA companies, our PEZA unit in Philippines. We are engaging with our consultants and connecting with them closely to map our next strategy to avail ourselves to the tax incentive going into next year.  As for the Malaysian Unit, the prosperity tax was taken – factored in, in this current. Due to the budget proposal by the previous Government of Malaysia, there was an absence of a prosperity tax going into next year, but in the light of the current political situation, it remains to be seen how the new government will look at this tax situation for the future. So I really can't comment much on the outlook of the tax situation until the political situation is cleared up.  And on the Airbnb warrant thing, yeah, it is – as what Edward mentioned just now, it has – the warrant has a bit of a link to the Master Service Agreement, prescribing – setting the business volumes as one of the conditions and because the Master Services Agreement was, renewed with TDCX last year, whereas the warrant agreement was executed in September this year. So the catch up reduction had to be – was done in alignment with the Master Service Agreement for the volumes that was awarded by Airbnb to TDCX for the of measurement period of the first one, which was concluded before the warrant agreement was executed.  So this catch up elections reflects that the spirit of the warrant agreement in correlation with the Master Services Agreement on the commercial signs, as well as there was a bit of a catch up from the quarter two – quarter three, which is July to September, post the first maximum period. So that that was the catch up that was reflected in the Q3 financials. 
KC Ong: Got it, thanks. When you mentioned catch up, is that more of a revenue impact or a margin impact, and I assume it’s not… 
Chin Tze Neng: It was a revenue, revenue impact. 
KC Ong: Okay, got it. Thanks. 
Operator: Thank you. Our next question comes from Sigrid Qiu from JPMorgan. Sigrid, your line is now open. 
Sigrid Qiu: Hi! Thank you for answering my questions previously. I have three follow-up questions. So firstly for OCX, I just want to understand on the aggregate level, what's the onshore and offshore revenue split. So that would be for example, for agents sitting in the Philippines, what percentage of their work go to service domestic business and what percentage goes to support clients, overseas operations.  And also some of your largest clients are increasingly move their business – moved their customer support offshore. So do you see this onshore and offshore split change? And secondly, could you share with us how do you determine the level of compensation you give to your employees. Is this sort of on the high or lowest side as compared to your peers in the industry.  And lastly, I think some of your biggest clients are in the process of CX vendor consolidation. So, do you see yourself take up a bigger share in this process? Thank you. 
Laurent Junique: Thank you. I'll start probably in the reverse. Thank you for the questions. Vendor consolidation I think is something that we're watching closely and that we are very happy to be able to positively participate in and that's really the reason we went to the market a year ago. We said we wanted to pursue global strategy, so that we have enough footprint to be top – one of the top vendors of our big clients and quite happy to say we've made it to a number of those clients. It used be the beneficiaries of the future consolidation that is going to happen. So we are there in that space and I'm quite happy to see that happening this year.  On the compensation versus our peers, we don't have a comparison to our peers that I can officially mention. It would have had to be audited, but I’m confident to say that we in the market pay at good levels of compensation, and as a result of that, the last time that there was an official study, it indicated that TDCX attrition is lower than its peers. So that kind of corroborates that are compensation, which is benchmarked regularly against the market, not just the peers, is good enough to attract our employees. And again, we're delivering the headcounts we are asked to deliver.  Now, on the ratio of onshore versus offshore, we've been thriving on delivering offshore work, and as a result of that the amount of offshore work we do is 90%, only 10% is delivered out of let’s say Japan and China primarily, but all the work we do in the Philippines, the work we do in Singapore and Malaysia or Thailand or even in Europe, in Barcelona and in Colombia covering North America are offshore. So that's not to say that as, clients are looking for lower cost locations, there won't be an impact to TDCX eventually by reducing potentially the revenue per employee.  But the good news is we've designed our network to accommodate the future, which could be a decentralization future, where a client who centralizing maybe in Malaysia, may need to do the work locally in Indonesia or in Vietnam. Good news is we've set up in Indonesia, we've set up in Vietnam, we've set up in Korea, we've set up in Turkey, we've opened in Colombia. So we have a number of products to offer and to solution our clients requirements if they were to migrate from onshore to offshore or offshore to onshore, and that's I hope answering your question.
Sigrid Qiu: Got it. Thank you very much. 
Laurent Junique: Thank you. 
Operator: Thank you. We have no further questions for today, so I’ll hand back to Jason Lim for any further remarks.
Jason Lim: No, thanks everybody for spending time with us tonight. If you got any follow-on, just feel free to reach out to me. Wishing you all a very happy holiday season ahead. Thank you, guys.
Operator: Thank you for joining today’s call. You may now disconnect to your lines.